Operator: Hello, and welcome to the Essential Utilities Q1 2024 Earnings Call. My name is George. I'll be your coordinator for today's event. Please note, this conference is being recorded. [Operator Instructions].
 I'd like to hand over to your host today, Mr. Brian Dingerdissen to begin today's conference. Please go ahead, sir. 
Brian Dingerdissen: Thanks, George. 
 Good morning, everyone, and thank you for joining us for our First Quarter 2024 Earnings Call. If you did not receive a copy of the press release, you can find it by visiting the Investor Relations section of our website and the slides that we will be referencing in the webcast of this event can also be found there.
 As a reminder, some of the matters discussed during this call may include forward-looking statements that involve risk, uncertainties and other factors that may cause the actual results to be materially different from any future results expressed or implied by such forward-looking statements. Please refer to our most recent 10-Q, 10-K and other SEC filings for a description of such risks and uncertainties. During the course of this call, reference may be made to certain non-GAAP financial measures. Reconciliation of any non-GAAP to GAAP financial measures is posted on the website. 
 We will begin the call with Chris, our Chairman and CEO, who will provide an update on the company. Mike Huwar, the President of our Gas business, will then provide an update on the Gas business; and then Dan Schuller, our CFO, will provide an overview of the financial results before Chris closes the call and opens the call up for questions. 
 With that, I will turn it over to Chris Franklin. 
Christopher Franklin: Thanks, Brian, and good morning, everyone. Thanks for joining us. 
 I'll begin with some highlights from the quarter so far. First, as Dan is going to discuss in a lot more detail our financials. We posted GAAP earnings of $0.97 per share, which includes the significant gain on sale from the energy projects, which closed in January. 
 Now at the start of the year has been unusually warm, underscoring our real need for weather normalization at our Gas utility. Operationally, this was another very strong quarter for both Gas and Water, and we continue to achieve industry-leading operational metrics in both Gas and Water. You'll hear more about the Gas division from Mike Huwar in just a few moments. 
 Now related to our acquisition program, we have seen real progress on the C-motion, which was introduced by Chairman D. Frank. We understand that more than 30 people have contributed to the process of the C-motion comment period, and we expect the PUC to vote on the motion relatively soon. We will continue to monitor the progress here, and we hope the process is completed soon here in Pennsylvania. 
 Now as you probably saw, the EPA published the first ever limits on PFAS last month. These were largely in line with what we were expecting, and I'll get some detail in a moment, including our CapEx spending and PFAS -- on PFAS. 
 Now speaking of CapEx, our significant infrastructure investment program continues to upgrade our pipes and plants which enhance our ability to deliver on our mission of providing reliable water and natural gas to our customers. Through March 31, we have invested approximately $253 million. And as a reminder, we expect to invest between $1.3 billion and $1.4 billion this year, which will be a record capital spend for us, by the way. 
 You've heard me say that many times. And I can't tell you how proud I am of the company's leadership and what they have accomplished in terms of our work to improve customer reliability. As part of our continued focus on operational excellence in 2024, I thought you might enjoy hearing from Mike Huwar, our President of our Natural Gas division. And later in the year, you'll hear from Colleen Arnold, who runs our Water business. But we're leading -- we have leading efforts going on in our Natural Gas business, and I think you'll find it interesting. 
 And finally, on this slide, it's been a busy week for the company. On Wednesday, we held our Annual Meeting of shareholders, which on all agenda items received over 90% of shareholder support. Notably, I'm pleased to report that Tammy Linde and Chris Bruner, have been elected to the Board. If you take a look at the next slide, I think you'll agree that they will be great additions to the Essential Board. 
 Over the last 10 years, we've really focused on corporate governance. And as a result, I think we have one of the most -- what we consider best-in-class corporate governance guidelines. And I believe we are really a leader in that part of our business. For example, our corporate governance includes tenure limitations and retirement ages. 
 In fact, Ellen Ruff, our longest tenured Board member, and she was a former Duke Executive; and Lee Stewart, our long-time Audit Committee Chair, reached retirement age over the past year and formally retired from the Board this week. Now through a formal Board succession search process, we identified Tammy and Chris, who I believe will fit seamlessly into what is already a very strong board. 
 Tammy, as some of you may already be familiar with is a long-time industry Executive General Counsel at PSEG in New Jersey. She brings a great utility, legal and regulatory bind to our Board. Chris is a retiring audit partner, EY, and he previously served as the Head of the Philadelphia office of EY, and he brings a depth of knowledge and experience of participating in audit committees and Board discussions. Chris [indiscernible] year-end and has passed the independent tests of the New York Stock Exchange and the SEC, and of course, declared  independent by our Board. We welcome Tammy and Chris to the Board, look forward to their service and I'll just mention one other thing. We disclosed through an 8-K this morning that the Board has offered me and I've accepted a new 3-year contract that will commence on July 1 of this year, go through mid-2027. That will be my fourth 3-year contract since I've been a CEO. 
 Now moving to Slide 7. I want to spend a little bit more time on PFAS, given the final EPA rule that was published last week -- last month. As we've been discussing for more than 5 years, Essential has been an industry leader in setting company-wide standards for PFAS and publicly disclosing all of our sample results where we find PFAS and certainly in creating innovative solutions to address PFAS issue. As a result, we are well positioned to comply with the EPA limits that were just set. Unlike many other utilities in the country, we have tested all of our water sources, identified the sources that need treatment, and we've been implementing mitigation solutions now for years. In fact, Aqua has installed 9 treatment systems to date and mitigated another 10 sites by optimizing the use of its supplies and removing wells from service. 
 For 2024, we estimate that more than 10 systems will go online by year-end. And by using our modular design tailored to small systems, we anticipate ramping up our capability to mitigate,  I think is 100 systems in a single year. Just last month, we held the groundbreaking for a site in New Jersey. The final rule that came out was largely in line with our expectations. So no surprises there. Without getting into too much detail, one of the most significant changes we saw was that the period of compliance was changed to 5 years. You may remember that previously, we were all thinking that the compliance period was going to be a 3-year period. And we think this was a very prudent approach and may be able to ease some of that potential pressure on supply chain for many of us utilities rushing to implement our mitigation solutions. 
 Recently, we named one of our internal experts to a newly created role solely focused on the rollout of the treatment technology. And one of his preference to charges is to standardize our approach and minimize design and construction costs. [indiscernible] is a leading -- is leading this work from headquarters to ensure that our standard is adopted across all of our subsidiaries, no matter what state, and all impacted operations. And we're seeing the benefits of this structure already. 
 Our work to mitigate PFAS -- PFAS-related cost to our customers also continued as we pursue lawsuits against the manufacturers and apply for state and federal loans and grants. We're going to stay focused on keeping costs down for our customers. Now while our costs may change as we move through the process, we currently estimate that we'll spend at least $450 million to complete this PFAS mitigation. 
 I'll leave you with one final thought on this topic. We were a pioneer on our PFAS commitment 5 years ago. We will plan, we expect to remain a leader in this area. And we also see opportunities to help other utilities with their PFAS mitigation plans, which obviously could help some of our corporate development work. 
 So next, it's really my pleasure to introduce the President of our Natural Gas division, Mike Huwar. Mike has over 38 years of industry experience. He joined us from NiSource back in 2020, when we completed the transaction with Peoples. He's been a tremendous addition to the team. And I've asked Mike to join us today and provide some details on our Natural Gas utility that he leads. And by the way, just to give you a sense of size, we provide service to 750,000 customers in Pennsylvania and Kentucky. 
 Mike, do you want to take it away? 
Michael Huwar: Sure. Thanks, Chris, and I'm happy to be here today and appreciate the opportunity to highlight the significant and important work that the team of Peoples and Delta's Gas is doing. 
 So moving to Slide 9. As noted on the slide, Peoples is the largest LDC in PA with over 703,000 customers and $3.5 billion of rate base as of the end of 2023. Additionally, our Gas segment includes Delta Gas, now serving over 40,000 customers in Kentucky. When you think of these 2 jurisdictions, it's important to be mindful that both Pennsylvania and Kentucky are supportive regulatory environments. And in Pennsylvania, People's service territory sits directly on top of the Marcellus and Utica shale production zones that continue to give customers a lower-cost commodity to the national average, and that's helping keep bills affordable. 
 Since the acquisition by Essential, the clear focus of our Gas segment has been the increased safety and reliability of our 15,000 mile distribution system. The best example of that focus has been the reduction of year-end outstanding leakage on our annual DOT Report, having reduced outstanding leaks by 83% over the past 5 years. It should also be noted People has maintained its really strong focus on customer service, continuing to lead its peer group on the annual PA PUC customer satisfaction survey. 
 Moving to Slide 10. You will recall that we filed a Pennsylvania gas rate case just before the new year, it's the first case under Essential ownership, after staying out since 2019. And it includes a doubling of rate base from the last fully projected future test year as compared to this case from $2.1 billion to $4.2 billion primarily for replacement of aging bare steel and cast iron mains, work that both increases safety and reliability and reduces greenhouse gas emissions. 
 In this case, Peoples has included a weather normalization mechanism like many of our peers currently have available to them. The case is proceeding as planned, evidentiary hearings are scheduled for May 9. And as you would know, this is the typical time during the rate case process when conversations are happening between stakeholders. Finally, we expect rates to go into effect before the winter heating season. 
 On Slide 11. Beyond the operational focus and customer satisfaction performance, the Peoples and Essential teams continue to execute on aggressive pipeline modernization programs. Under the currently active long-term infrastructure improvement plan in PA, Peoples has replaced over 510 miles of pipeline or 60% of the current LTIP target, while again, enhancing the safety and reliability of our distribution system. This effort is leading our way to the target of reducing CO2 emissions by 60% by 2035. 
 At the conclusion of our current LTIP, Peoples will assess our progress and continue this critical infrastructure improvement work in a series of 5-year plans. It should be noted the runway of needed safety and reliability enhancements continues to grow as the industry focused on rebuilding infrastructure and reducing greenhouse gas emissions. 
 Beyond the pipeline replacement and modernization, Peoples has been active in implementing technology improvements that have short-term and long-term benefits to system operation. Our ability to reduce the potential of overpressure events and the GPS functionality of our tracking and traceability program highlight this opportunity. 
 Lastly, Peoples will pilot a game-changing meter technology in 2024 that allows utilities to interact with customers and have greater control over the distribution system. At Peoples and Essential, we are excited about the progress we have made and look forward to our future and continued focus on safety, reliability, affordability and our customers. 
 Chris, thank you, and back to you. 
Christopher Franklin: Mike, thanks for your leadership. Thanks for being with us today. 
 View of the financial results. Dan? 
Daniel Schuller: Thanks, Chris, and good morning, everyone. 
 On this slide, let's talk high level, and then we'll get into the details of the waterfall. The quarterly performance was strong, especially when factoring in the gain in the energy project sale that was completed in January. 
 Operating revenues were down due to the decline in natural gas commodity prices year-over-year, which positively impacted customer bills. Weather was warmer than normal, what was largely comparable to last year. We continued our focus on managing O&M expenses with a slight decline there year-over-year. I'll cover this more in detail when we talk through the waterfalls. These items, combined with the after-tax gain of $66 million from the sale of 3 district energy projects, resulted in net income growth of 38.8% and earnings per share grew up to 34.7%, compared to last year. 
 Next, let's walk through the first quarter waterfalls. On Slide 14, we have the revenue waterfall for the first quarter. Moving left to right, we have regulatory recoveries or rate increases and surcharges of nearly $14 million. Acquisitions and organic growth in the Water business contributed $3 million and that slow increase is due to increased volumes of both Water and Gas. This was then offset by a decline in other and a significant reduction in purchase gas costs. The decline in other reflects a positive onetime impact of contract to deposit fees in Q1 2023 and lower PNG -- lower PNG Universal Service rider revenue this year due to lower customer bills. The lower purchased gas reflects the significantly lower gas commodity price that our customers enjoyed relative to 2023. 
 I'll note that one thing you don't see here is a large change in the volume of gas due to weather. This is because the same period in 2023 also had materially warmer than normal weather. For the first quarter of 2024, it was about 15% warmer than normal, which resulted in weather-related natural gas sales net of purchase gas costs, think about $20 million below projections or an earnings impact of $0.05 per share. 
 Next, let's take a look at the O&M on Slide 15. Here, we have the O&M waterfall. We saw increases in production costs of $2.4 million and employee-related costs of $2 million. Employee-related costs are largely in line with inflation. However, we saw some larger increases in production expenses due to purchased water, purchased wastewater and power prices. 
 Next, we had an increase due to customer growth in the Water segment. These increases were offset by the lower costs from the Gas segment Universal Services rider, which decreased due to the lower gas commodity prices this year as well as lower other expenses. Other includes a number of items, increases in bad debt and materials and supplies, decreases in year-over-year Gas segment expenses and the impact of the sales of both West Virginia utility assets and the energy projects. This resulted in an O&M that was down slightly from last year. So overall, a positive story here. For the year, we expect O&M to be largely in line with our historic norms. 
 Next, let's look at the EPS waterfall on Slide 16. Starting on the left side of the EPS waterfall was $0.72 from last year. And the next thing we see is the $0.20 pickup in the Other category. This increase in EPS includes the $66 million after-tax gain on sale from the energy projects, which closed in January. This was offset by increases in depreciation, interest and taxes other than income. 
 Next, we have the impact of the rates and surcharges, which contributed almost $0.04. Then we have slight increases due to Water growth and additional volumes for both Water and Gas. And finally, an insignificant impact of increased expenses. That lands then at $0.97 of EPS for the quarter. When we gave you that $0.97 of GAAP earnings per share for the quarter, and we subtracted off the gain on sale of $0.24, and then we add back the $0.05 for weather that I mentioned earlier, we get to a number that exceeds our Q1 consensus. 
 Next, let's turn to Slide 16 to provide an update on regulatory activity. This slide depicts our regulatory activity so far this year. We continue to manage our regulatory activity to maintain safe and reliable service, earn a return on the capital we invest and minimize regulatory lag while always considering affordability for our customers. Thus far, we received authorization to increase Water segment revenues by $13.7 million annually in Illinois, North Carolina, Ohio and Pennsylvania and the Kentucky and Pennsylvania gas businesses have surcharges that will increase revenues by $1 million annually. We have Water segment rate cases or surcharges pending in Illinois, New Jersey, Texas and Virginia that totaled $43.2 million. The detailed breakdown of these can be found in the Appendix. And of course, Mike just covered the Peoples rate case, which is underway currently. 
 Finally, we expect to file a Pennsylvania water rate case during the third full week of May, which is nearly 3 years since the last trials. We'll provide more details on that case on our Q2 call in August. 
 And with that, I'll hand the mic back to Chris. Chris? 
Christopher Franklin: Alright Dan, thanks. 
 So next, let's touch briefly on the municipal acquisition program. As of this call, we have 6 signed asset purchase agreements in 2 states where we already have existing water and wastewater operations. These acquisitions will add over 215,000 customer equivalents and about $385 million in purchase price. We continue to see strong and healthy pipeline of opportunities for additional growth, and we're currently engaged in active discussions with many municipalities. In fact, the customer count is over 400,000, and that would be on the water and wastewater side. 
 As we mentioned, if Chairman De Frank's proposal and any of the associated bills in the legislature are successful, there should be a much clearer path to closing municipal acquisitions in Pennsylvania in the future. And I think that will free some of the municipals that are currently thinking about it but maybe standing still for the moment. 
 We continue to believe increasing compliance requirements, such as PFAS, should lead to continued consolidation in what, as you all know, in a very fragmented industry with over 50,000 water systems and 14,000 wastewater systems throughout the country. 
 All right. So in closing, let's update the guidance we provided in February so you have a clear line of sight to the opportunities in front of us. In February, we provided guidance for 2024 of net income per diluted common share of $1.96 to $2. And at the time, we clearly indicated that that guidance was based on normal weather as most utilities do. And then as mentioned, the weather in Q1 has been much warmer than normal. So for clarity's sake, if we assume normal weather from this point forward, we would finish the year on a GAAP basis above our guidance range due to the gain on sale. Dan took you through the -- some of the calculations there just a moment ago. 
 Now through 2028, we plan to invest about $7.2 billion in regulated infrastructure in our existing utilities, a really strong capital program. And in 2024, we expect to invest between $1.3 billion to $1.4 billion, and we're on track to do this. And as we said many times, this is the primary generator of more reliability and service for our customers, as well as the primary generator of earnings per share for our shareholders. Based on this investment, we expect rate base will grow at a compounded annual growth rate of approximately 8% for Water and about 10% for Natural Gas through 2028. And the combined utility rate base will grow a compound annual growth rate of over 8%. 
 We continue to expect that together organic customer growth and growth from acquisitions for water and wastewater will climb at a rate of 2% to 3% per year on average. We remind investors always that growth from acquisitions is lumpy and should be viewed over a 3-year average. We expect continued stability in our natural gas customer base. And as we said before, we expect to raise about $250 million in equity this year using an ATM equity program. 
 We remain committed to a 60% reduction in our Scope 1 and Scope 2 greenhouse gas emissions by 2035 from our 2019 baseline and as you know, we've made significant progress already on this, and we estimate it to be over 25% as of year-end last year. I'll note that the team feels that we are well prepared for the SEC climate rule, which is currently stayed due to various legal challenges. 
 With that, I'm going to conclude my formal remarks for today, and we'd like to open it up for questions. I'll send it back to the operator. 
Operator: [Operator Instructions] Our first question today is coming from Durgesh Chopra from Evercore ISI. 
Durgesh Chopra: Just I wanted to kind of kick start with the gas rate case in Pennsylvania. Obviously, you guys have probably seen all the media reports around the water case that is ongoing. Just any read-throughs from there? Or any color that you can share on how that case is progressing? 
Christopher Franklin: Yes. I guess I would just say, apples to oranges in many ways. And so we feel very good about the strong case that we presented. And as Dan mentioned -- I'm sorry, as Mike mentioned in his comments, that as you would expect, we're sort of in that period of time where we can have discussions about a settlement, and we'll see how those discussions go, but we're prepared to see this case through. So far, very, very curative and good relationships with the advocates and the commission. 
Durgesh Chopra: Excellent. Thanks for that update, Chris. And then maybe just switching gears. Other states, and I'm sure you've seen this also, there have been some lawsuits filed by residence against the utility, the water utility related to PFOS, PFAS. Can you comment if -- whether you've seen anything like that in your service territories and implications, if any, for your business? 
Christopher Franklin: So, fortunately, we have not. And I'd like to think that that's because we've been so out front on this issue for so many years. Durgesh, you'll recall, 5 years ago, we started down this path before most people have been -- didn't even knew what the PFAS discussion was, and we started mitigation well before many others. So I'd like to think it's because of our work we've been doing. 
 And then our disclosures have been really strong. Anywhere we've PFAS, we have reported it publicly. And of course, we created that internal standard at 13 parts per trillion several years ago, well before the EPA came out with any standard. And so I'd like to think that all of that proactive work is part of the reason why we haven't been in that focus for losses. But no, at this point, we've not seen anything. 
Durgesh Chopra: I can certainly attest to your leadership there. You're kind of the first voice in the industry talking those issues. Okay. Thank you. 
Operator: Our next question will be coming from Davis Sunderland calling-in from Baird. 
Davis Sunderland: Wanted to ask about the pending municipal transactions and the PFAS guidance for the $450 million in capital. Does this include the pending transactions? And maybe, I guess, just to add on to that, how has PFAS discussions or discussions surrounding costs associated with upgrading systems made its way into potential actions for new systems so far? 
Christopher Franklin: Yes, it's a good question. And what we're largely focused on, as you mentioned at the beginning of your question is municipal transactions. And generally, generally, I'm not talking about Los Angeles and Philadelphia, New York, but generally, the municipal systems that we're focused on are smaller. And so I would say more of a prevailing theme would be that they haven't tested yet. And so not all of them even know, whether or not they have PFAS. And so I think what we're going to find as this MCL is put the maximum contaminant level, was put in place recently. I think we're going to find a lot of testing, we're going to find a lot of them from the fine prob. 
 So I would expect that that discussion really ramps up in this coming year and over the next 5 years as everybody is forced to comply with the 4 parts per trillion. But I wouldn't say that it was a major theme at this point in what we're -- in our current discussions with the municipal transaction we have today. 
 I think your second question, Davis, was around what does the $45 million includes capital for acquisitions? And we don't typically -- until we close those that wouldn't be in our calculation. Dan? 
Daniel Schuller: Yes. That's correct. And Davis, if you look at the acquisitions that we have pending to flows, they are more biased towards wastewater acquisitions rather than water. And I don't believe at this point that there's PFAS in the water acquisition or 2 that are in that list. But in any event, we think that it's -- we think of the $450 million or as we've said, at least $450 million, it wouldn't be a material change on that if we have a few more studies. 
Davis Sunderland: Got it. That makes sense. That's helpful. And maybe one other question. This might be a bit hypothetical. So I guess just asking as to weather normalization and what you've applied for in the pending gas case, do you have any estimates or any commentary or any thoughts maybe as what a normal season would have been for this past quarter or what the impact would have been had you been given this weather normalization clause that you guys have applied for? 
Daniel Schuller: I guess, the way I'd characterize that is if you think of the $20 million net revenue shortfall that I mentioned, that would be inside, call it, a $5 million impact, if we had weather normalization kind of depending where that weather normalization comes out exactly. But it would -- as you can see, it would materially reduce the volatility that we see in the year like we had last year or this year in terms of downside, but also in a very cold year, it would have the impact of keeping customer bills at a more normalized level as well. 
Operator: Our next question will be coming from Travis Miller calling from Morningstar. 
Travis Miller: A couple of follow-ups to some of the things you mentioned in the prepared remarks. One is the supply chain, I thought that was an interesting comment there and thought process there. In terms of are there raw materials or equipment or something that you see constrained right now or you would anticipate could be constrained to your point about the short time period here -- relative short-term period? 
Christopher Franklin: Yes, we think about tanks, right, each of them the-- by the way, most of our systems where we're doing mitigation are small systems. We do have some large ones -- but a lot of them -- the vast majority of them are small systems. When you think about 2 different tanks. So those tanks have to be fabricated, purchased and fabricated and [indiscernible] and we did think about two times all of the systems that we have to implement, which are hundreds. 
 And then the carbon material is also something that would be ongoing, essentially because that would have to be replaced or regenerated. But we think about those materials. We -- there could be some constraints on the ability to deliver. That's why I say over a 5-year period, spreading it out, it's going to be a lot more palatable people because if we try to squeeze that into 3 years, it's really tough. 
 We're out there. We're already doing mass purchases to get ready. So that's not going to be a challenge for us necessarily, but it could be for others. Let's remember that EPA significantly underestimated the impact of this rule. And so the rush on some of these materials is going to be much more significant than I think was initially anticipated by EPA. 
Travis Miller: Okay. Makes sense. And then just a real quick follow-up. The tanks that you mentioned, if -- you obviously are doing a lot of the PFAS stuff already. Can you use the tanks you're using already? Or are those unique tanks that you would have to replace or don't have. Does that make sense? 
Christopher Franklin: Yes. Yes, it makes sense. These would be brand new added to the site of each of these sources, right? And so the 2 tanks would be -- could be in a building or outside of a building, but they would be brand new to the process at each site. 
Travis Miller: Okay. That makes sense. And then one other to the hottest topic in the sector right now to data centers. Any impact there, either -- or even large manufacturers for the gas business, large factories. Anything there that would be upside? 
Christopher Franklin: Yes, Mike is here, and there's none that I'm aware of that would be materially impacting gas. But Mike, anything you're seeing? . 
Michael Huwar: I think it's a great question. And I will say that locally within our service territory, there are project developers that are looking for opportunities that include sites with connection to the grid, customers that may even want to take power offline and the value of being located with vast pipelines, all as ample and low-cost natural gas is driving that opportunity. 
Travis Miller: And anything on the water side, we fear that the data centers are water intensive. Anything that would be relevant there? 
Christopher Franklin: Yes. No, it's a good question. And I'll tell you what, Ohio has been really successful at attracting some of these facilities, not only data centers, but also chip manufacturing and also general manufacturing. They've really done a beautiful job there. And we would like to participate in that. And so we are engaging in Ohio. 
 And of course, there's a lot happening in Texas as well. That, Travis, isn't necessarily the plant itself. But then the housing that comes along with a new manufacturing plant because of the employee base that's added. And so we're seeing that kind of growth, particularly in Texas. And so that would be more the nature of our participation on the water side, not necessarily the plant itself, but the follow-on housing. 
Operator: We'll now be moving to Jonathan Reeder calling from Wells Fargo. 
Jonathan Reeder: I was hoping to just get a little more clarity on the guidance exactly. So excluding the $0.24 gain on sale, do you expect to be able to deliver the full year '24 EPS within that $1.96 to $2 range? In other words, can you offset the $0.05 weather headwind in Q1? 
Daniel Schuller: Jon, I think we'd say that that's a difficult challenge at this point given that the $0.05 weather impact in the first quarter. 
Christopher Franklin: I think the math Dan took you through is pretty clear. What we can't predict as we had in, I guess, 2022, Jonathan is a blockbuster decent November, December in natural gas, which could make up. But we try to predict and guide based on normal weather. And that's why when we add in the weather normalization, it makes it a much easier prediction. We would not have anticipated, especially 2 years in a row to have the weather impact that we just saw in 2023 Q1 and 2024 Q1. So, again I think Dan's math took you through how we think about that on an impact given what we saw in the first quarter. 
Jonathan Reeder: Yes. For some reason, I was thinking the impact on Q1 '23 was even larger, like closer to $0.08. So when I saw -- or when I heard you guys say $0.05, it sounds like, okay, maybe that was something that could be a little more manageable? Or like you said, maybe you get some favorable weather, whether it's at the water business over the summer or the gas business in Q4 that helps kind of balance things out. So... 
Daniel Schuller: Yes. Jonathan, I might add that last year, there was a significant impact in the first quarter. But by this point, we also had a few positives that we were already -- had already experienced in the year or were seeing ahead of us. So we already had that New Jersey contract fee reversal that we talked about in the first quarter last year. We had a Texas water passthrough that you've heard us talk about. We had some things that were cleaned up from our SAP implementation, where we had some capitalization of 2022 expenses in the first quarter of 2023, which were beneficial. 
 And then at this point when we had the call, we knew we had a relatively chilly April. So we had -- we're in a little bit different situation. And then ultimately, we saw the Natural Gas safe harbor come through, which was beneficial as well last year, in terms of getting back on track and inside that guidance range. I think this year, we're a little bit more susceptible to the weather impact. As you know, we'll do everything we can to claw back pennies and focus on our operating model in order to do that. But just in transparency that here today, it's just a little bit harder than it was last year. 
Jonathan Reeder: Got you. No, I appreciate that additional clarity there. Maybe trying to ask Durgesh's one question a little differently. Can you talk about the prospects of reaching a settlement in the Peoples Gas case, as well as just more broadly the challenges or inability on the water side for you and now it appears Pennsylvania American to reach settlement in the cases because historically, settlement seem to be the norm in Pennsylvania? 
Christopher Franklin: Listen, I can't give you any details because for obvious reasons. But I think it's often about the healthy exchange between the parties. And we're not going to agree on everything. That's why I called it a settlement. I would -- I'll just leave it at this, Jonathan, it is a constructive discussion that's taking place right now. And I can't predict whether we're going to have a settlement or we'll litigate it. It's a constructive discussion. 
Jonathan Reeder: Got you. Okay. So I mean you don't think it's like -- there's anything more broadly in the Pennsylvania regulatory construct or regulatory environment that's, I guess, leaning parties not to settle anymore? 
Christopher Franklin: I do not. 
Jonathan Reeder: Okay, and then I know you said you expect the commission will vote shortly on the final revisions to the fair market value framework. Do you have any insight regarding the potential like significance of any changes from Chair De Frank's original proposal? And then are you still of the opinion that the only changes to the proposal will be from the commission and not legislatively? 
Christopher Franklin: So let me answer it too separately. There was over 30 commenters, right? A lot of comments about Chairman C-motion. And I know that they are carefully considering all of those comments and we'll think about how they might impact but -- and those are all public, right? So we're able to see those. 
 I wouldn't say there's anything new in those comments from what we've seen and heard in the C-motion. So all those opinions, I think there are no surprises there, let's say that. And so I would be hopeful that the Chairman would be pretty close to his view initially. But there's 5 votes and 5 opinions up there. So we'll have to see what that looks like as they kind of push through. 
 Now the second part of the question about legislation. No, I think there is a series of placement moved through the House of Representatives on the committee level and those are on the floor. And there is an ongoing discussion with the leadership in the House of Representatives about what might we accomplish because the bills that were released from Committee are not things that we would want to see passed and we understand that they would probably not be successful in the Senate. 
 However, if there was some compromised language that could be recent -- would be similar to Chair De Frank's motion at the commission, I think there's real possibilities there. And that discussion in the House of Representatives is ongoing. And I think there's a lot of stakeholders that are involved. So we're -- and we're participating. But I would hope that it would come out similar to the motion in the commission, and this would really give us all a clear path as to how this is going to work moving forward. 
Jonathan Reeder: Okay. No, that's really helpful to know that, yes, like if something -- you think if something comes out of the legislature, it's not, I guess, in the current like kind of penal form or like removing Act 12 and the draconian kind of stuff. It's how do we tweak fair market value to still promote the consolidation of the fragmented industry and everything like that. 
Christopher Franklin: That's right. I'm told that in the Senate, there's not an appetite for repeal that they believe that municipal leadership, as sector officials, have the right to transact if that's what their decision is. And so -- and that's been made pretty clear about the Senate. So I think if there's a compromised language, we could all work together. If not, I don't think much will happen at all, at the legislative side. 
Jonathan Reeder: Great. That's excellent color. Good luck with the fair market value, good luck with the rate case. And then you said on the water side, you're going to be filing, I think, next week for the new water rate case in PA, is that right? 
Daniel Schuller: Later in the month of May, the third full week in May. 
Jonathan Reeder: Third full week. Got you. I missed that little one. 
Operator: We'll now move to Ryan Connors calling from Northcoast Research. 
Ryan Connors: So yes, I actually had a couple of big picture questions. One came to mind as you were discussing the PFAS kind of potential bottlenecks in equipment purchasing and that sort of thing, and you're talking about making mass purchases, been on some of the earnings calls for these vendors of this equipment lately, and it's a real gravy train. They're talking about not giving back any of the pricing that they took the last few years and continuing to raise prices above and beyond inflation. And so it kind of comes to mind that that's all happening at the same time, your industry is seeing greater concern about affordability. 
 And if not yourselves, at least some seeing some real pushback on rate cases and that sort of thing. I mean, are you -- are the water utilities going to just kind of get squeezed in between the manufacturers and the rate payers here? Or is there some -- at what point does the pushback on the pricing of the equipment, or what construct is in the regulatory framework for -- to account for sort of price gouging, or just curious what your thoughts are on that. It seems like you're caught in the middle there. 
Christopher Franklin: Yes. To some extent, you're right. Although I'll give Dan -- Dan has been purchasing them and the procurement is under Dan's purview at the company, given a lot of credit, they've already been out there in the market, negotiating some of these things. So maybe, Dan, do you want to talk a little bit about our success there. 
Daniel Schuller: Yes. So we think about this, there are a couple of different scales here. So we've got small systems in states like North Carolina and in areas like Western Pennsylvania, where we've got relatively small to -- we're going to put in, think 3-foot diameter canisters, we would look to buy those in mass across the need there, which is -- as Chris said, we've got hundreds of these to do. You've got 2 tanks per installation, you have 2 vessels. 
 So it is a lot of vessels, Ryan, as we think about it. So we'll go out with bids that are for packages of those, if you will, not all at once obviously, but with enough volume to drive volume-based discounts, buying a lot of the same-sized vessels with multiple suppliers. 
 Now 2 is something that's been discussed in the space is for those things that are funded by the federal government in some way, we're getting a grant or a loan, we have to use American-made products. Look we don't have to use that everywhere. And I think the municipal and investor in utilities will all realize that they've got to go a little more broadly in terms of finding supply here. And to hold price down, we need to go to offshore manufacturers of these types of vessels that will do that. 
 So I think we've got those small vessels, we've got larger vessels, so think kind of 12-foot diameter. Again, these are things that are fairly standard. There are multiple manufacturers of those. We'll look for multiple bids and go with the best price. I mean that's really our objective here is to always put in the appropriate equipment at the appropriate price for the protection of our customers. 
Christopher Franklin: Yes, capitalize on our economies of scale and we're obviously going to be a big player in the purchases. And I do think, Ryan, we're so much susceptible would be on the resin or on the carbon because it's going to be ongoing purchases. But we're hopeful that we can negotiate fair pricing. 
Ryan Connors: Okay. No, I appreciate all the detail there. My other one was, Chris, you mentioned -- so as this reform process plays out for Act 12, you mentioned that potential sellers have been kind of standing still. And I'm a little surprised, and I'm curious why it wouldn't be the opposite. Why if I'm a city and I feel like there's going to be a cap put on valuations, why I wouldn't be rushing to sort of get my APA signed before that happens? Because presumably, there'll be some grandfathering in of deals that have been signed. So can you discuss like why is that not the case? Why is there not sort of a rush to get things done and sit on your hands and wait for a cap to be put in from a seller standpoint? Doesn't seem to make sense. 
Christopher Franklin: I think the reality is, even if there's a grandfathering that's, as you know, part of the language that's out there, just the base reality this year. These things are ending up in court. And so even if it's grandfathered and the commission was okay with it and the consumer advocate then challenges it, as they have in some cases for us and some of our peers, we end up in tie-up in court. And we want -- I think we're tired of it. Investors are tired up. We want to get deals that we can transact can actually close. And so that's the important work with the C-motion. And it's the clarity of how do we get to close, what is affirmative public benefit and what's not challengeable in court. And I just think that as municipals look at it, and we do too, at this point. If we think that even if they're grandfathered, probably they're going to end up -- tied up in court and then appealed in court and everything else, we can take a little bit of a wait-and-see attitude. 
Ryan Connors: Yes. No, that's a great point. It makes total sense when you put it that way. Yes. And then lastly, just on the PFAS thing, I remember you talked about treatment or testing rather and the fact that that's -- not all these systems have been tested I remember visiting the Bryn Mawr, the brand-new Bryn Mawr kind of labs when it was constructed, I guess, a few years ago. And one of the things that Huwar talked about was how that facility can do testing for not only for your own stuff but for municipalities and so forth. I mean, is that going to be a commercial opportunity that would be meaningful if a lot of these systems just have to get samples tested? Or is that just kind of immaterial? 
Christopher Franklin: Yes. I mean, you raised a very good point. We are still the only state certified utility lab that does PFAS in the State of Pennsylvania now. So there is opportunity there. Now having said that, we want to get ourselves situated where we are in a position that we're in full compliance within the 5-year period. So there's substantial testing running through the lab before we would add another call shift, we would want to exploit opportunity a little bit. But I'm not saying that we're not, Ryan. I'm just saying that at this point, we're really focused on full compliance at Essential Utilities and then we'll look for opportunities beyond. But you're thinking about it the right way. 
Operator: [Operator Instructions] We'll now move to Gregg Orrill calling from UBS. 
Gregg Orrill: Do you have anything to report on the DELCORA purchase agreement? 
Christopher Franklin: Gregg, we couldn't go on one call without DELCORA question. I'm kidding, of course, but yes, we -- I guess one bit of good news, I guess you can position it as good news. So we were due to be in court on May 8 to -- and this was in a commonwealth not State Court. And then we're going to hear the argument from the county, which essentially is appealing the decision of the lower County Court that said that the asset purchase agreement is valid and enforceable. 
 And so that oral argument was canceled, and the judges said that they were going to make the decision based on final briefs. Now typically, that's good news. We won't know until the decision is out. But I think the aspect of timing actually is probably helpful here too because as we're told, often the judge's decision comes a little bit more quickly when they're not digesting oral arguments and they're just focused on the briefs that have already been filed because obviously, they've read them already. And so we take that as a little bit of vote there in optimism. That would be a nice addition. 
 In Delaware County, they -- where this DELCORA exists, they raised taxes last year and there was talk about raising taxes again this year. We've taken that as an opportunity to reengage with the elected officials in the county and just to remind them that there are significant proceeds associated with closing this transaction. And might they consider reengaging on a settlement discussion and then letting the need for a tax increase go. 
 So I would say that that discussion is ongoing. So always something happening on DELCORA, but remember that the key gating factor here is we have a stay on the process by a Federal Bankruptcy Court Judge that is not associated with the transaction itself, but the bankruptcy of the City of Chester where some of the assets of DELCORA lie. So we're still waiting for action on that, but we continue activity in the background. 
Operator: Ladies and gentlemen, we don't appear to have any further questions. I'd like to turn the call back over to Mr. Chris Franklin for any additional or closing remarks. Thank you. 
Christopher Franklin: All right. Thanks, folks, for joining us. And as always, Brian, Dan and the team stand ready to answer your follow-up questions should you have any. Thanks for joining us today, and have a great weekend. 
Operator: Ladies and gentlemen, that will conclude today's presentation. Thank you for your attendance. You may now disconnect. Have a good day, and goodbye.